Operator: Good morning. My name is Adam, and I will be your conference facilitator today. Thank you for standing by, and welcome to the Janus Henderson Group Fourth Quarter and Full Year 2024 Results Briefing. [Operator Instructions] In today's conference call, certain matters discussed may constitute forward-looking statements. Actual results could material differently from those projected in the forward-looking statements due to a number of factors, including, but not limited to, those described in the forward-looking statements and risk factors sections of the company's most recent Form 10-K and other more recent filings made with the SEC. Janus Henderson assumes no obligation to update any forward-looking statements made during the call. Thank you. It is now my pleasure to introduce Ali Dibadj, Chief Executive Officer of Janus Henderson. Mr. Dibadj, you may begin your conference.
Ali Dibadj: Welcome, everyone, and thank you for joining us today on Janus Henderson's fourth quarter and full year 2024 earnings call. I'm Ali Dibadj, I'm joined by our CFO, Roger Thompson. In today's call, I'll start with some comments on the momentum being generated across the business. Roger will then go through the quarterly results. And after that, I'll provide an update on the strategic progress we made over the last 12 months. After those prepared remarks, we'll take your questions. Turning to Slide 2. 2024 demonstrated several signs of clear progress at Janus Henderson. This progress was a result of colleagues who locked armed collaboratively as one firm to continue building our momentum by accomplishing many new and major milestones that support our purpose of investing in a brighter future together in our strategy. We're encouraged that our net flows turned positive in 2024, finishing the year with $2.4 billion of net inflows. This is a tremendous accomplishment and has vastly improved from only two years ago when we experienced $31 billion of net outflows. Delivering positive active flows is a key differentiator for Janus Henderson in an industry with well-documented active flow headwinds. The positive net inflows resulted from a diversified set of regions and investment strategies. In the intermediary channel, North America, EMEA, Latin America and Asia Pacific all delivered positive flows in 2024, and at the firm level, there were 29 investment strategies that produce greater than $100 million in net inflows or roughly 40% increase compared to the prior year. In addition to the net inflows, Janus Henderson generated new net revenue in both the third and fourth quarters. Fee pressures are relentless in this industry and not all AUM is created equally. So, we are pleased with that result. We're seeing success across a mix of capabilities and regions, including higher fee strategies such as hedge funds and thematics. This has enabled Janus Henderson to maintain a relatively resilient fee rate. Our 2024 net management fee rate of 48.6 basis points has decreased only 1 basis point over the last two years. Given feedback from shareholders, we are also happy bringing in new business where the headline fee rate may deviate from our current blended fee rate, if and only if it has an attractive profitability profile. Our fee rate and profitability management are two of the key competitive differentiators for Janet Henderson. We are executing our strategic vision, which consists of three pillars: protect and grow our core businesses, amplify our strengths, not fully leveraged and diversify where clients give us the right to win. Under the Diversified pillar, we expanded into differentiated private market capabilities for clients with the acquisitions of NBK Capital Partners in September and Victory Park Capital in October. As I said before, both are skating to where the puck is going on behalf of clients. NBK allows Janus Henderson early entry into the rapidly expanding emerging markets private capital space and VPC specializes in asset-backed lending, both have unique origination that is the envy of our larger alternative peers. Within the Amplify pillar, we acquired Tabula Investment Management in July and have moved quickly to begin leveraging the business with our first European ETF launches occurring in the fourth quarter with more to come in 2025. In September, we announced a unique and innovative affinity partnership with the American Cancer Society. Through this pioneering partnership, Janus Henderson is donating the equivalent of 50% of its management fee revenue from all AUM in our government money market fund. This partnership allows us to enter the undifferentiated $6 trillion and growing money market category with a distinctive product that is extremely hard to replicate and benefits an incredible cost. We invested in our brand to strengthen our profile, drive our business forward and communicate our purpose of investing in a brighter future together for the over 60 million people globally who directly or indirectly rely on Janus Henderson for their financial well-being. We are investing in technology, including AI as part of our ongoing efforts to improve the ways we work by embracing innovative technologies. Example is leveraging AI and machine learning in our North American client group to deepen existing client relationships and establish new ones. We also launched a collaborative tool for our RFP team, which was the first generative AI tool developed internally and put into production by Janus Henderson colleagues. Janus Henderson is home to incredibly talented people and we believe we are becoming a destination of choice in the industry, attracting and retaining the best talent enables us to deliver for clients and execute our strategy over the long term. Finally, our strong financial results and cash flow generation enable us to return $458 million of cash to shareholders in 2024 through the quarterly dividend and share repurchases while maintaining the flexibility to invest in the business on behalf of clients. The 2024 results on Slide 4 illustrates our tangible progress in the business. Long-term investment performance remains solid with over half of our AUM at of benchmark on a 3-, 5- and 10-year basis. Total AUM increased 13% in 2024, mostly reflecting strong markets, alpha generation and positive net flows. Ending AUM of $378.7 billion is 5% higher than the 2024 average AUM, providing a tailwind as we begin 2025. As I discussed earlier, net flows were positive, improving for the second consecutive year and resulting in a 1% organic growth rate. Financial results remain solid and our financial performance and strong balance sheet continue to provide us the ability to invest in the business organically and inorganically and return cash to shareholders. I'll now turn the call over to Roger to run you through the details of the quarterly financial results.
Roger Thompson: Thanks, Ali, and thank you for joining us on today's call. Starting on Slide 5, and I look at our quarterly results. As Ali has discussed, our solid investment performance, I'll touch briefly here on AUM, flows and EPS. Net flows were positive for the third consecutive quarter at $3.3 billion, and ending AUM was down 1% from the third quarter as adverse markets and currency adjustments offset the net inflows. Our financial results are strong, better top line revenue provided by positive markets, a stable net management fee rate, net inflows and outperformance delivered by our investment teams, coupled with operating leverage resulted in adjusted diluted EPS of $1.07, a 30% increase compared to the same period a year ago. Our financial performance and strong balance sheet continue to give us the flexibility to invest in the business, both organically and inorganically and return cash to shareholders. On Slide 6, we'll look at the investment performance in more detail. Investment performance versus benchmark remains solid with the majority of aggregate AUM beating their respective benchmarks over all time periods. The lower 5-year number compared to the prior quarter is primarily driven by the U.S. mid-cap growth strategy within our equities capability and was impacted by the narrow leadership driving market gains in the U.S. for small and mid-cap growth stocks, which weighed on relative returns to benchmark. Performance for the strategy compared to peers remained solid, and it's in the first or second Morningstar quartile over all time periods. Overall, investment performance compared to peers is very competitive, with at least three quarters of AUM in the top two Morningstar quartiles over 1-, 3-, 5- and 10-year time periods. Slide 7 shows total company flows by quarter. Net inflows for the quarter were $3.3 billion compared to net inflows of $400 million last quarter and a significant improvement over net outflows of $3.1 billion a year ago. The year-over-year improvement was primarily driven by a 42% increase in gross sales and marked the best quarterly gross sales result in almost three years. The increase in gross sales compared to the prior year is across a broad range of regions and strategies, including ETFs, balanced, global small cap, Australian fixed income, thematics such as life sciences and technology, hedge funds and global adaptive multi-asset. Turning to Slide 8 and flows by client type. The positive trends in the intermediary channel continued with fourth quarter net flows of positive $3.5 billion. For the year, intermediary net inflows were $8.7 billion, a 5% annual organic growth rate. In the fourth quarter, the U.S. and Asia Pacific regions experienced net inflows with small outflows across EMEA and LatAm. In the U.S., net flows were positive for the sixth consecutive quarter with the last five quarters each delivering at least $1 billion in net inflows. Several strategies delivered net inflows in the fourth quarter, including most of the active ETFs, multisector credit and hedge funds. U.S. intermediary is a key initiative under our Protect & Grow strategic pillar, and we're pleased that we're gaining market share. Under our Amplify strategic pillar, we've talked about amplifying our investment in client service strengths using various means, including vehicles in which to deliver our products. In addition to ETFs, flows into CITs, SMAs and hedge funds in this channel were all positive in the fourth quarter and for the full year. Moving to the EMEA and Latin American intermediary segment. Here, we've spoken previously about expanding our strategic efforts. And whilst fourth quarter net flows in these regions were slightly negative, net flows were positive for 2024 and the best annual result since '21. In APAC intermediary, net flows were positive for the second consecutive quarter and positive for the year. Within APAC, Asia had a particularly strong 2024, and is carrying momentum into '25. Institutional net inflows were $900 million compared to net outflows of $500 million in the prior quarter. Institutional net flows were aided by 10 distinct fundings between $100 million and $500 million. We're working to create a sustainable pipeline. We're pleased with the work our distribution team is doing, and we're encouraged by the leading indicators and increasing number of opportunities across all of our regions. Net outflows for the self-directed channel, which includes direct and supermarket investors, were $1.1 billion, flat to the same period a year ago. Slide 9 is closing the quarter by capability. Equity flows were negative $2.5 billion, which declined compared to the last quarter, but improved from negative $3.2 billion a year ago. Despite a challenging environment for active equities, the annualized gross sales rate for equities improved to 14% from 13% on a year-over-year basis. Fourth quarter net inflows for fixed income were $5.2 billion, which is a 26% annualized organic growth rate. Several strategies contributed to the positive fixed income flows, and in the intermediary channel, fixed income active ETFs delivered strong positive flows of $4.9 billion in the quarter, led by flows in JAAA. Other strategies contributing to the intermediary positive flows or multi-sector credit and Australian tactical income. In institutional, fixed income flows were also positive and led by Australian fixed income strategies. Net flows to the multi-asset capability were positive for the first time in three years at $100 million, improving from net outflows of $400 million and $1.4 billion in the prior quarter and prior year. The fourth quarter result was led by positive flows into the global adaptive multi-asset and the balanced strategies. Balanced, which is our largest strategy, had its first quarter of positive flows since Q4 of 2021. And finally, net inflows in the alternatives capability were $500 million, driven primarily by pooled hedge funds. Moving on to the financials. Slide 10 is our U.S. GAAP statement of income. Before moving on to adjusted financial results, GAAP results this quarter include an expected $42.6 million noncash, nonoperating, accounting release of accumulated foreign currency translation losses related to subsidiary entities liquidated this quarter. This amount is removed from adjusted results. Continuing to Slide 11 and the adjusted financial results. Fourth quarter and full year 2024 adjusted operating results improved compared to the prior quarter and the prior year. The improvement was primarily due to higher average AUM, good investment performance, generating higher performance fees and operating leverage. Adjusted operating income improved 20% and EPS improved 18% quarter-over-quarter. Improvements over the fourth quarter of last year were even stronger, with operating income and EPS up 31% and 30%, respectively, and year-on-year, we're up 31% and 34%, showing the consistency of our improvement. Adjusted revenue increased 16% compared to the prior quarter and 25% compared to the prior year, primarily due to higher management fees on higher average AUM and improved performance fees. Net management fee margin was 48.6 basis points, a slight increase over the prior quarter. Our full year net management fee margin of 48.6 basis points was down less than 0.5 basis points compared to 2023 and only 1 basis point lower than 2022. Janus Henderson's net management fee margin continues to be a differentiator compared to many of our peers, given the fee pressure headwinds experienced in the asset management industry. Fourth quarter performance fees of $68 million, including performance fees of $74 million generated primarily from a number of funds and capabilities with December 31 crystallization dates. Partially offsetting this revenue was negative $6 million from U.S. mutual fund performance fees. Whilst negative U.S. mutual fund performance fees have improved significantly compared to the negative $17 million in the fourth quarter of 2023. Continuing on to expenses. Adjusted operating expenses in the fourth quarter increased 14% to $363 million, primarily reflecting higher incentive compensation and previously communicated expected increases in noncompensation expenses. Adjusted employee compensation, which includes fixed and variable costs, was up 18% compared to the prior quarter, primarily from higher incentive costs on higher revenues and fixed costs related to the consolidation of acquisitions beginning in the fourth quarter. Adjusted LTI decreased 6% compared to the prior quarter, largely due to mark-to-market or mutual fund share awards. In the appendix, we've provided the usual table on the expected future amortization of existing grants along with an estimated range for 2025 grants. The fourth quarter adjusted comp to revenue ratio was 42.4% and our full year comp ratio was 44%, in-line with previously provided expectations and improved from 2023. Adjusted noncomp rating expenses increased 15% compared to the third quarter, primarily due to expected higher marketing and G&A expenses. On a full year-over-year basis, adjusted noncomp expenses increased 9%, which is in line with our expectation as a percentage growth to be at the higher end of mid- to high-single-digit growth. As I mentioned on previous earnings calls, we anticipated adjusted noncompensation costs to accelerate in the second half of the year related to attractive ROI investment supporting areas of momentum in our business and the consolidation of VPC beginning in the fourth quarter and the full cost of NBK. With respect to 2025 expense expectations, we expect the compensation ratio in the range of 43% to 44% in 2025 compared to 44% in 2024. This range assumes AUM as of the 31st of December and zero market assumption in 2025. For non-compensation, we expect mid- to high-single-digit percentage growth as a result of the investments supporting strategic initiatives and operational efficiencies, as well as inflation and the full year impact of the consolidation of VPC, NBK and Tabula. To offset where we can, we'll continue to be mindful of our discretionary cost base and be disciplined in our cost management. Finally, we expect the firm's tax rate on adjusted net income attributable to JHG to be in the range of 23% to 25%. Our fourth quarter adjusted operating margin was 36%, an increase of 180 basis points from a year ago. Full year 2024 adjusted operating margin was 34.4%, an increase of 350 basis points. Adjusted diluted EPS was $1.07, up 18% from the prior quarter and up 30% from the fourth quarter 2023. Skipping over to Slide 12 and moving to Slide 13 and a look at our liquidity profile. Our capital position remains strong. Cash and cash equivalents were $1.2 billion as of the 31st of December, which is roughly flat to the end of last year as excess cash flow generation was used to support our inorganic investments, fund our quarterly dividend and to repurchase 6.1 million shares in 2024. Our return of excess cash is consistent with our capital allocation framework. We'll look to return capital to shareholders where there isn't an immediately more compelling investment, either organically or inorganically in the business. In September 2024, we successfully completed a $400 million issuance of senior unsecured notes at a coupon rate of 5.45% due in 2034. In November, the proceeds of that issuance we used to execute a make whole call to repay the $300 million of notes due in August 2025. The Board has declared a $0.39 per share dividend to be paid on the 27th of February to shareholders of record as at the 11th of February. In summary, we've maintained a strong liquidity position, and we continue to balance the capital needs and the investment opportunities of the business with returning capital to shareholders. Finally, Slide 14 looks at our annual return of capital to shareholders. We've been disciplined in consistently returning excess capital to shareholders as the historical data reflects. Since 2018, we've returned 70% of our cash flow from operations or $3 billion to shareholders in the form of our quarterly dividend and accretive share buybacks. Our dividend has increased 11% and we've reduced shares outstanding by 21.1% since our first accretive buyback program commenced in the third quarter of 2018. In 2024, we returned 66% of our cash flow from operations to shareholders, including $250 million in dividends and $208 million in buybacks. Our capital allocation philosophy has not changed. We reserved cash for our regulatory capital requirements and our liquidity needs and then set aside capital for contractual obligations. We then look to use cash for organic and inorganic reinvestment in the business and then consider returning excess cash by dividends and share repurchases. Our return of capital reflects our positive financial outlook, our cash flow generation and a strong and stable balance sheet. Our buybacks and stable dividends do not impair our ability to execute M&A, should the opportunity arise, and we continue to actively look to buy, build or partner to diversify where clients give us the right to win. With that, I'd like to turn it back over to Ali to give an update on our strategic progress.
Ali Dibadj: Thanks, Roger. Turning to Slide 15 and a reminder of our three strategic pillars of Protect & Grow our core businesses, Amplify our strengths, not fully leveraged, and Diversify where clients give us the right to win. We are in the execution phase, and we believe this strategic vision has us on the path to over time, consistently deliver organic growth. Over the next few slides, I'll highlight several examples of the progress made in 2024 across the three pillars. Moving to Slide 16, which details the improving business trends in the U.S. intermediary channel. Net flows were positive for this channel for the second consecutive year, resulting in a 7% organic growth rate compared to 1% growth in 2023, a tremendous result given industry headwinds. Very importantly, we are capturing market share in both gross sales and net flows. We've talked previously about our national brand campaign in the U.S., which was something new for Janus Henderson and a substantial change from what we've done in the past. The investment made has resulted in a strengthened brand profile that positions Janus Henderson as a trusted financial partner. As I mentioned earlier, we are investing in leveraging AI and machine learning to support the North America Client Group. We believe we are at the forefront of a technology, AI, which will fundamentally transform how we interact with and service our clients. The amount of data at our fingertips is immense and the challenging opportunity is how to turn this data into powerful and actionable information and acumen that will help Janus Henderson drive and anticipate our clients' needs, deliver differentiated insights and accelerate growth. Slide 17 highlights the meaningful progress made under the strategic pillar of Amplify. Our suite of active ETFs experienced another successful year. Net flows were positive $14 billion and AUM finished the year at $27 billion, more than doubling in 2024 and equating to an annual growth rate of 79% over the last five years. With this growth, Janus Henderson is now the eighth largest provider of active ETFs and third largest provider of active fixed income ETFs in the world. We have momentum in active ETFs in the U.S. and aim to build upon this momentum outside the U.S. with the acquisition of Tabula in mid-2024. Janus Henderson quickly leveraged the expertise and technology of Tabula, launching our first active ETFs in Europe during the fourth quarter. We anticipate launching a range of active European ETFs across equities and fixed income strategies in 2025, including JCL0, a European version of JAAA, which launched earlier this month. These will take time to mature, but we are energized by their prospects. In September, Janus Henderson announced a partnership with Anemoy and Centrifuge to manage Anemoy's Liquid Treasury fund, a fully unchained tokenized fund issued on Centrifuge's public blockchain that provides investors with direct access to short-term U.S. treasury bills. Blockchain readiness and tokenization are key pillars underpinning Janus Henderson's innovation strategy and the decision to partner with Anemoy and Centrifuge in this way reflects the firm's commitment to digital assets and our desire to embrace disruptive financial technologies. In 2024, we established an effort to review our product set to identify and amplify opportunities for existing products that we overlooked, subscale products with strong investment performance and significant distribution potential. Once that strategy is global small cap equity. We have world-class regional small-cap investment capability and launched this strategy five years ago to utilize this regional investment acumen in a global strategy. The strategy delivered strong investment performance, but limited growth. We developed a sales plan, including infusing the strategy with additional seed capital to elevate its availability for platforms. In 2024, this strategy had $700 million of net inflows from a $2 million starting point to begin the year. This is a great example of our teams working collaboratively to deliver for our clients and embodies two of the firm's core values of together we win and clients come first always. In 2024, we established several new products and vehicles based on what our clients are telling us. We launched emerging markets debt, mid-cap growth alpha and income ETFs in the U.S., and Japan high conviction equity and Pan-European conviction equity in Europe. Elsewhere, we launched additional SMAs, CITs and hedge funds. Turning to Slide 18 and our third pillar of Diversify. We're expanding into differentiated private market capabilities for clients with the acquisitions of NBK Capital Partners and Victory Park Capital. NBK allows Janus Henderson early entry into the rapidly expanding emerging markets private capital space. In addition to enhancing product offerings for existing clients, the acquisition also provides Janus Henderson with the access to engage with new clients that include some of the largest and fastest growing pools of capital, such as the Middle East and Asian sovereign wealth funds and pensions, who want to actively invest globally, thereby expanding our footprint in the region. Victory Park Capital specializes in asset-backed lending, which has emerged as a significant and differentiated market opportunity within private credit and we believe it will remain appealing to clients as they increasingly look to diversify their private credit exposure beyond direct lending with unique origination and VPC has that origination. Our joint venture with Privacore has been ramping operations over the last 15 months. As a reminder, this was a de novo build, and it took some time to get people hired and operationally set up, and we are beginning to see real progress. As a testament to the differentiated model being built, Privacore has had over 80 GP conversations in the first 15 months, showcasing demand from the private markets community for its solution. Privacore selling on three wirehouse platforms and expect to add another this year. They are also expanding into RIAs and broker-dealers. Privacore has more products coming online in the upcoming months, and they are working with VPC on innovative solutions for the wealth channel. We continue to look actively to buy, build or partner to diversify where clients give us the right to win. The M&A pipeline is active, and we're going to be very disciplined in our approach. As we enter 2025, to be fair, we are not firing on all cylinders yet as there are many more areas of Janus Henderson that we believe can support our strategic ambitions, not overnight, but over time. Slide 19 provides a few examples. Our ongoing strategic efforts and execution are clearly starting to be manifested in our results. And while we are squarely on the path to consistently delivering organic growth, we are not yet at our destination. There are still several strategic ambitions across the business that we believe can contribute to future growth. In Protect & Grow, we have been realigning resources in our legacy channels and repositioning these businesses. Two examples are the U.K. intermediary and U.S. direct channels, which combined represent over 20% of firm-wide AUM. Under Amplify, there are several examples of strengths we have yet to fully leverage. In institutional, we've talked publicly about the need to build a sustainable pipeline. The APAC region, which is 10% of AUM, is relatively small, however Janus Henderson is recognized as a key player with many clients. We're in the nascent stages of leveraging Tabula and launching ETFs in Europe. In diversified alternatives, we are underpenetrated, and we believe we can increase market share. Lastly, we can continue to broaden our vehicle lineup where clients want us to do so, including SMAs and CITs. In our third strategic pillar of Diversify, our focus is to leverage our recent acquisitions in private credit, VPC and NBK and to provide alternatives to private wealth clients via Privacore. We also remain active in looking at M&A opportunities to diversify where clients give us the right to win. Moving to Slide 20, which is an illustrative view of our strategy and where we believe it can take us. We are executing on our strategic plan and believe our strategy has us on the path to deliver organic revenue growth consistently. There is real progress in all three pillars of our strategic framework as evidenced by U.S. intermediary and Protect & Grow, product development expansion in Amplify, and VPC, NBK and Privacore diversify. In addition to the tangible strategic progress, there are several areas of our business that we believe could help to drive future growth. Wrapping up on Slide 21. I'm proud of the progress made in 2024. I want to thank each and every one of my colleagues at Janus Henderson for their hard work and dedication and thank our clients who entrust us with their capital, responsibility we take humbly and seriously as we continue to show real progress on our strategic path to deliver consistent organic growth. We are not at our destination yet, but we are clearly on our way. Net inflows for the year were $2.4 billion and are positive in aggregate over the past two years, net new revenue was positive in the second half of the year, and we maintained a resilient net management fee margin. We amplified and diversified our businesses through inorganic opportunities, entering the European active ETF through Tabula, and expanded into private markets with NBK and VPC, our brand positioning strengthened globally, we have a strong balance sheet and good free cash flow generation, which enables us to return cash to shareholders and reinvest the business. And looking ahead, we believe we are squarely on the path to deliver consistent results for our clients, shareholders, employees and all our stakeholders. Let me turn the call back over to the operator to take your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Brennan Hawken from UBS. Brennan, your line is open. Please go ahead.
Brennan Hawken: Good morning. Thanks for taking my questions. Ali and Roger curious about the ETF strategy. So, momentum has been really quite solid, and it's really quite remarkable given the heritage in equities rather than fixed income. So you've said in the past, you're not really interested in clone-type ETF products. So, could you maybe give us an idea about how you're thinking about bringing equity products? We've seen a few filings and heard of a few filings, but what are the plans for 2025? And how big do you think that offering can get?
Ali Dibadj: Sure. Happy to start, Brennan. Thanks for the question. You're right. We're pretty proud of what the team has done with the ETF franchise. We're now the eighth largest provider of active ETFs in the world period. And the third largest provider of active fixed income ETFs by assets under management, and that's close to $30 billion. We see enormous opportunity in the ETF landscape as a wrapper, not just because it's a wrapper that in some instances, is better for clients' needs, and we can talk about the reasons there, but also because they wrap a really strong investment product that we have. And you mentioned the fixed income landscape in particular, is a perfect example. We have now four fixed income ETFs that are above $1 billion each. And that's not because of the wrapper only. That's because we had really great investment performance, really great portfolio managers, really great research, really great teams, who, if you look at the performance numbers, delivered really a solid performance for our clients, but they weren't in the decision set, so to speak, of our client base. It's just not something we had gone after in a very heavy manner. And the ETFs allowed us to unlock that, and in fact, lock it pretty well. So, we think that we have the opportunity to build on the fixed income side on ETFs for sure. To your point, though, that's allowed us to then enter the mindset of ETFs more broadly on the active side for equity is two. So, to what you noted, we've launched a couple on the equity side. There will be more launched on the equity side, because, again, we're taking things that are unique and differentiated from a performance perspective, not clones, but unique and different from an investment perspective and bringing that to clients in a form factor that clients appreciate. Now, a lot of that discussion is around the U.S. Now outside the U.S., you'll note the Tabula acquisition that we made, that's been very, very helpful and a great integration for us to work together. And we're finding that there's enormous opportunity in Europe to drive ETF growth as well. And you may have heard this on other calls, but just their repetition. The patterns we're seeing in the European markets on ETFs is similar to what we would have seen in the U.S., call it, seven or eight years ago. Similar patterns in terms of growth, and we want to be part of the leadership there and with Tabula, we think we can do that. We launched Japan high conviction, we launched pan-European high conviction, in ETF forms. And most recently, we launched the European version of JAAA, so JCL0. Again, we think there's enormous opportunity here. We want to be part of the leadership. And so far, we have been.
Brennan Hawken: Thanks for that color. That's helpful. Roger, my follow-up, I'd love to ask you about the 2025 outlook for expenses. So, you mentioned that assumes flat markets. So, curious if you could please let us know what kind of leverage -- operating leverage you'd expect in both comp ratio and on the sensitivity for non-comp to upside from market beta. Thanks.
Roger Thompson: Yeah. Hi, Brennan. I mean you've seen that over the last two years, and that would continue if markets do it to go up. So, our comp ratio has come down by 1.8% over the last year. We've signaled it will go down -- it should go down a little bit more with flat markets and that will continue. And the same thing in our op margin. Our op margin is up pretty significantly in percentage terms year-on-year and positive markets. There is leverage in this business. We will continue to invest in the business. We've given guidance on costs. That is positive markets and positive sentiment. It may mean you do a little bit more on cost, but there's definitely leverage in the business. So, if markets were to rise, then you would expect to see leverage both on the comp ratio coming down and the op margin going up.
Brennan Hawken: Right. But is there any like rule of thumb, whereas 100 basis points in markets translates to blank leverage, or is it not that simple?
Roger Thompson: It's not quite that simple. It depends where from, et cetera. So, we'll see it as it will come.
Brennan Hawken: Okay. Thanks for taking my questions.
Operator: The next question comes from Craig Siegenthaler from Bank of America. Craig, your line is open. Please go ahead.
Craig Siegenthaler: Good morning, Ali. Hope everyone is doing well.
Ali Dibadj: Thanks, and you too.
Craig Siegenthaler: So, I don't normally say these things, but I did want to congratulate you on the successful turnaround in place, which we know is very hard in asset management. I think this actually was Janus' first positive flow year since 2009 for legacy Janus, even then it was barely positive.
Ali Dibadj: Thanks. It's a team effort. We're putting one foot for the other, and hopefully, the results continue to be okay.
Craig Siegenthaler: So, Ali, my question is on fixed income. So, investment performance is currently very strong. I think the timing is pretty perfect for duration extensions. We're already seeing a nice lift in your flows there. We know there's many funds inside of that business, and we know there's a big one driving that. But I'm curious in terms of performance, what factors and themes do you attribute the strong performance to besides just security selection?
Ali Dibadj: So, we are very pleased with the light that is being shown on the fixed income business. These teams, to your point, have performed extraordinarily well across many, many different strategies. 1-, 3-, 5-, 10-year beating benchmark, 91%, 84%, 86%, 94%, top two Morningstar quartiles, same timeframes, 84%, 74%, 71%, 75%. I wish I could have gotten those types of scores in school. I mean, these are really strong numbers. And we see it very broad. So, areas like multi-asset credit, multi-sector income are there for investors who want things that are more income related, obviously. We have obviously, to your point, the suite of fixed income ETFs, the JAAAs, but also JBBBs, JIII, JMBS, among others, that allow institutional access to -- well, retail access to institutional type investments. We have very strong regional strategies. A little bit to your question, very strong in Australia, very strong in some parts of Europe. We have the emerging market debt strategy and really good high yield and other strategies, let in some of the private credit stuff that we're doing. So, it's fairly broad-based. It does come certainly from security selection, but also allocation depending on the strategy between asset classes, between regions. Certainly, if you read our themes for 2025, we believe, for example, that going to the securitized marketplace still sees a lot of opportunity for investors as opposed to kind of a typical corporate IG. So we still see opportunities in a lot of our fixed income portfolio. And we're, again, very pleased that people are paying attention to it. We're willing to invest and we are, and we want to grow that business quite substantially.
Craig Siegenthaler: Thank you, Ali. And just sticking with fixed income, but flipping the conversation from performance to flows. What is the outlook for 2025, just given the likely better industry flow outlook, your very good performance, you have money in motion from a very large competitor and you also ended the year with a lot of momentum heading into the fourth quarter?
Ali Dibadj: Well, we're going to continue to, as I said before, put one foot in front of the other and try to deliver on flows. And the pride that we have on delivering on flows isn't just for these types of calls, right? It's most importantly because that allows us to deliver for more clients and more end clients to add to the 60 million clients that we have around the world. We are hopeful that we can continue to deliver growth in that sector, not just in the ETF suite that we have in the U.S., but now in Europe, but also, obviously, for our clients in the institutional world, whether they be insurance clients as we're trying to grow those or others. So look, we're going to control what we can control and put one foot in front of the other. But hopefully, the momentum, as you suggest in your question, that continues for us.
Craig Siegenthaler: Thank you.
Operator: Next question comes from Bill Katz at TD Cowen. Bill, your line is open. Please go ahead.
Bill Katz: I appreciate the update and the guidance. Just thinking about the development you've seen in the Protect & Grow side, particularly on the intermediary, which is the biggest swing factor for your business, and then on the institutional side, the incremental opportunity, I was wondering if you could just unpack and maybe click in one more layer deeper in terms of what you're hearing from either the gatekeepers or sort of on-the-ground financial advisers that is allowing the acceleration of growth and sales, both net and gross. Is it just the brand campaign? Is it the efficacy? Is it the marketing? All of the above? The data seems very compelling to me. And then you mentioned that you're seeing some good signs in the build-out of the sort of the institutional block. Just sort of wondering what's resonating with the consultant community and how you think about that looking ahead. Thank you.
Ali Dibadj: Thanks, Bill. So, let me tackle that in two buckets, and Roger can jump in and redirect anywhere. First, from the intermediary side, you're right, we're very pleased about the momentum, the partnership we've built with our clients and "gatekeepers" but really, we see them as clients. And I think that the U.S. is the first place, as you know, that we've really implemented some of the changes, and we're trying to broaden that out. And just to double-click to your words, what we did in the U.S. is we, first and foremost, made sure that we had the right people in the right seats. There were a lot of changes in the management teams that we put in place there was step one. We then want to make sure that production levels were high and production levels were high, not just in terms of people running around and making every single call, but making sure that the data was supportive of whom they were calling, how often with what information. So, there's a real big data exercise that I mentioned earlier on that I think will continue and help there. So, the productivity was much higher. Yes, the promotional element or the marketing element helped quite a bit, putting us on people's radar screens. But also we had to tie compensation to growth for our new batch of people or somewhat changed batch of people. And then, of course, we have to make sure the product was right. And that's not just product in terms of the investment strategy. That's also in terms of the communication. It's also in terms of the client service. That's also in terms of being there when a client wants to talk to us, a portfolio manager or me, whomever. So, it's the compounding effect of all of that, that we've put together that we started in the U.S. And clearly, you've seen what's happened in the U.S. there, six consecutive quarters of positive flows now. The 2024 gross sales was up 36%. The organic growth was up 7%. But to your point, it's more broad on intermediary than just the U.S. now. EMEA and LatAm intermediary channels are improving quite a bit. LatAm was positive for 2024. The EMEA region was positive flows for the second half of the year. So, we're starting to see this through. And I think it's all of those things, to answer your question directly, all of those things together that we certainly hope, coupled always, always with performance that are helping us do well in the intermediary channels really around the world. On the institutional side, we are encouraged by what we've seen from a flows' perspective in this past quarter and a couple of quarters ago. We are continuing to try to build the pipeline. In particular, for Q4, as Roger mentioned, there are 10 distinct fundings between $100 million and $500 million that continue to support our efforts of getting out there and finding new institutional clients, and also importantly, as you mentioned, partnering with consultants who see the stability that we've brought to the firm and our investment teams as well as the lack of stagnation or ability to change and be innovative in the areas as well. And that success has been across regions, across asset classes so far. So, if you think about positive flows in the fourth quarter, Asia ex Japan, Japan, Australia, LatAm, Middle East, North America, also saw positive flows on the institutional channel. Now I'm not saying our pipeline is always going to be perfect, and we're always going to be positive flows in institutional, but certainly, the leading indicators are positive from an RFP perspective as well. And look, could we chase AUM? We could. Not all AUM is created equally. We want to be mindful of fee rate, but fee rate is really just a proxy of profitability. So, if there are mandates in the institutional world that have lower fee rates, but are more profitable, those are things we will look at as well. And now we have the data to be able to make sure that's the case. So, on the institutional side, we'll continue to fill you in on more details as we progress through the year.
Bill Katz: Okay. And just as a follow-up, you mentioned the M&A story a little bit. I was just sort of wondering, obviously, you have a couple of deals that you're integrating into the new year. That seems to be going along very well. You're generating a ton of free cash flow. Your payout rate is only about 70%. So, how do we think about the opportunity on the inorganic side? And I'm wondering if you could also talk about the possibility of beefing up your ownership of Privacore, which could then potentially increase your flow profile. Thank you.
Ali Dibadj: So, let me start with the first one, and I'll hand over on Privacore to Roger. The M&A pipeline is very robust, I think, for everybody in the industry, frankly. We will continue to buy, build or partner to support our strategy, to support Protect & Grow to support Amplify and certainly to support Diversify, and we've shown that. But we're going to be very client-led in all the M&A that we do. We do a lot of diligence on the companies, and it's not just dollars and cents and numbers on spreadsheets. It's a lot of time with the management teams and making sure the cultural fit as well is there. That's one of the things that's been very important with the acquisitions and the partnerships we've built so far. We got what we expected from a cultural perspective, which knock on wood, is very strong, let alone from a dollars and cents perspective. So, we're going to be very, very disciplined there. I don't have a sense of timing kind of underlying the spirit of the question of when M&A happens. I do know we're integrating these businesses now, and we're quite busy doing that. But over time, if we see things that are opportune for us, we're going to partner with folks who want to grow with us and partner with folks that think that we're a better home for them. Roger, do you want to handle Privacore?
Roger Thompson: Yeah, sure. Remember, this was a de novo build from scratch. We're 15 months in. But we're definitely very optimistic about the interest being shown on both sides, i.e., we've got best-in-class managers of alternative assets pairing with some great relationships being built now in the wirehouses and the broker-dealers and the RIAs. So, as you say, we own 49%. We're in active dialogue about the strategic options for that. We -- that may include potentially extending the exercise window to buy the remaining 51%. But again, we'll talk about that over time, but we remain very excited about the privates that we're doing in a number of ways, obviously, the acquisitions that Ali talked about, but also Privacore.
Operator: The next question comes from Ken Worthington at JPMorgan. Ken, your line is open. Please go ahead.
Ken Worthington: Hi. Good morning. Thanks for taking the question. First, I'll start. The presentation you guys have put together very helpful. So, thank you for that. In terms of questions, maybe starting with fee rate, you've been able to maintain and improve the fee rate for the last seven quarters, so almost two years. If I look at mix, I assume strong equity markets over the last two years have had some positive contribution to that fee rate, I'll call it, complementing, I think, your commitment to being disciplined about pricing. If 2025 experiences more normal equity and fixed income market returns, what do you expect the fee rate to do? And I know there's a ton of puts and takes, which is why I asked the question, you've got new products, you've got transactions, you've got certain ramps. What is your sense? Does it continue to stay flat here? Or does it edge one direction or the other?
Roger Thompson: Yeah. Thanks, Ken. And you're quite right. A positive equity market does help the fee rate. If you -- in the appendix of the presentation, and thanks for your comments, so on '25, we've given the fee rates by asset class, which again may help a little bit of that. It also helps show that by asset class, fee rates aren't moving that much. Obviously, we have had significant growth in securitized and the fixed income average rate will have come down a little bit. But from here, it will depend on the growth from here. And as Ali talked about, we've got a range of things we're selling. So, it is active product we're selling at active prices, the right active prices for the right product, but that ranges from enhanced index through to hedge funds. So, it will depend on the mix. And obviously, we're also selling things now more in the alternative space. So, you started to see the VPC fee rate come in. Obviously, as we look to grow that over time, that will increase the fee rate. But broadly, the fee rates come off 1% -- sorry, 1 basis point over two years, yeah, broadly flattish.
Ken Worthington: Okay. thank you. I'll try some fishing here on Anemoy. You're managing their tokenized fund through, I assume, a sub-advised relationship. You called this out. This seems like it could be interesting. I guess the question is why take on this business? It's hard to think that this is a big money generator. So, I look to blockchain and tokenization, do you have more interest in that sort of technology? Like is there something underlying your willingness to kind of take on this business?
Ali Dibadj: Thanks for the question and for noticing it. Let me start with what this is and then expanding to the last part of your question, Ken. So just for everybody's knowledge, Anemoy is effectively an asset manager that is very much in the tokenized world. And Centrifuge is the sort of platform that does the tokenization underneath it for asset managers, digitizes and managers and distributes funds that are chain focused. And the need that has become present is many institutional companies have on their balance sheet tokenized coins or currencies. And most of what's happened is people have used stablecoin to do that. And stablecoin doesn't have a yield. And that's okay when there is no yield. But now that there is a yield, many of the institutional players and some of them have very, very large balance sheets, as it sounds like you may know, are looking for other ways in the tokenized landscape to get yield. Stablecoins don't give them that. So, they've looked for an opportunity and Anemoy is providing that opportunity with the Centrifuge backbone to provide, for example, treasuries, which have yield. And guess what, we know how to purchase and manage those. And so, you're exactly right. We're in that ecosystem. And we're in that ecosystem because there's a need for a tokenized asset manager or tokenized fund for us to be supporting a client view and a client need to have it. Now, let me take a little bit of a step back to your point of why are we in this. And I don't want to say this too loudly, I guess, but innovation is actually at the core of our corporate strategy. Blockchain readiness and tokenization are ways for us to Amplify, Protect & Grow and also Diversify our businesses. And we do think this collaboration is critical for us to be in the distributed ledger technology world to learn about it and to bring it perhaps forward for asset managers. I think if you take a step way back in our philosophy, we do think, to the last part of your question, that eventually, there will be complete fungibility between private and public, liquid and illiquid assets, hard and soft assets. And if we can learn about that in this manner with two fantastic partners, we're willing to do that. And we want to be, in fact, one of the leaders and at the forefront of this. To your point, it's not a huge tax on our system. It's not a huge cost to us, but it's a lot of learnings that we can bring to bear and hopefully be able to bring that for a broader set of clients.
Ken Worthington: Okay. Awesome. Thank you so much for taking the questions.
Operator: The next question comes from Alex Blostein from Goldman Sachs. Alex, your line is open. Please go ahead.
Alex Blostein: Hey, good morning. Thank you. Just was hoping to double-click into a couple of strategic areas you guys talked about, I guess, one being European ETF marketplace. Clearly, nice developments there. Could you spend a minute on sort of the economics in that market relative to the U.S. market with respect to things like distribution cost and fee sharing arrangements, et cetera?
Ali Dibadj: Sure. It's a very nascent market. And so, the pool is quite small. It was expected to grow quite significantly. I'm trying to remember the number that's out there from folks, but I think it's $30 trillion, if I'm not mistaken, over the next few years. These are pie in the sky type numbers, but I think people imagine that could be the case over the next 10 years or something. We are not seeing any huge economic differentiation between the U.S. and Europe from an ETF distribution perspective at all because these are, as Roger was saying a second ago to the fee rate question, active strategies within these ETF wrappers. Part of the reason we brought Tabula on board and partnering with them is because they're already very well established in the marketplace, 10-plus regions, 10-plus exchanges. And that is an important part of the ecosystem that we, as Janus Henderson, did not have organic opportunities to get into unless we were going to take a lot of time. So, Tabula is helping us with that. We're not seeing real big economic differences on a per unit cost perspective. But of course, of course, Alex, maybe to your question, the market is a smaller market.
Alex Blostein: Yeah. I got you. That makes sense. On your point about acquisition pipeline, and you sounded, obviously, like it's quite busy. It's busy for a lot of folks. You remain disciplined. But what are the areas that you feel are more likely to materialize in an actual transaction, either in terms of geography or product base?
Ali Dibadj: I'll tell you when we know, because it's very varied right now. There are a lot of areas that we're looking at geographically, product-wise, across asset classes, there's a lot of interesting opportunities out there. But again, we want to make sure that the right opportunities and that we can digest them appropriately and that they have the right culture. We can always support across Protect & Grow, across Amplify and across Diversify in businesses that we currently have, but also businesses that we're looking to get into. Clearly, in the past, we've talked about privates, we talked about geographic expansion, we've talked about ETFs, but beyond that, I think there are still really interesting opportunities out there. So I don't want to limit it too much to be fair. Suffice it to say that we're always going to be client-led. We're always going to be disciplined. We want to make sure that we have the right cultural fit, not just financial fit.
Alex Blostein: Yeah. Makes sense. Great. Thanks.
Operator: The next question is from Dan Fannon at Jefferies. Dan, please go ahead. Your line is open.
Dan Fannon: Thanks. Good morning. I wanted to follow up, Roger, on your guidance. Obviously, flat AUM and flat markets, I get, but performance fees are another attribute that as we think about 2025 have the potential to improve given some of the performance as well as it looks like above high watermarks on some of the other strategies. So, how should we think about performance fees into 2025, given what you know today and how that might translate into the expense profile and guidance you've given?
Roger Thompson: I guess the only thing that we obviously know is what's rolling off. So, the U.S. fulcrum fees, if you trailed off the three years and you added average performance for the last three years then the U.S. mutual fund performance fees would be sort of negative high-single-digits. Now, that would be a meaningful improvement from the negative $39 million in '24. So, that's one piece of performance fees. On the other side, we obviously have a range of things of both long-only funds and absolute hedge funds that are 1-year performance and can be zero or can be big as we know. I guess the thing I would say in those is it is a range. It is a portfolio. We have about $40 billion, I think it is of assets, which have performance fees on them outside of the U.S. mutual funds. So -- but I can't tell you what it will be because I can't tell you what performance is. Relating to what that does for margin, they are -- they obviously have comp associated with them, but they are accretive, performance fees are accretive to our margin.
Dan Fannon: Okay. And I guess just following up on what's embedded in your guidance, is the -- if any improvement in the mutual fund side and kind of implied in the guidance that you've given for the ranges for 2025?
Roger Thompson: Yes. That's right. So, yeah, we model out as you do the U.S. mutual funds, and we make a reasonable assumption as to what might happen elsewhere. But as I say, I don't know what future performance will be.
Operator: The next question comes from Mike Brown at Wells Fargo. Mike, your line is open. Please go ahead.
Mike Brown: Great. Good morning. The flow story at JAAA and the tangential products have been very, very strong. I just wanted to ask a little bit about the broadening out by client type. So, Ali, you alluded to the fact that you're seeing kind of broader institutional use of the product. I wanted to just ask about kind of what inning that's in, in your view? And then, are you seeing any increasing competitive pressure just given the success of the product and some of the new product launches that have come to market?
Ali Dibadj: Hey, Mike, thanks for the question. So first, on the institutional side of things, look, I think we're very, very early days. I'm not sure what inning we're in. Maybe we're in pretty warm spring trading. I'm not sure. We're just we're starting. If you look at the RFP pipeline from a percentage growth perspective, across the board for us, at least, it's up quite significantly, 30%, 40%, high 40%s-type around the world on average. So, we see that. We see consultants giving us more and more upgrades and more positive momentum. I think when we're -- us looking at it, we've never had as many positive buy ratings or whatever the equivalent is on our strategies at the firm. So, things are just starting, I would say. And look, we certainly hope we can deliver on growth in the institutional landscape. For us, again, the most important part is that we are delivering for our clients and they're starting to vote with their feet. But I think it's very, very early days on that front. From a competitive perspective, we're not really seeing a lot of pressure from a competitive perspective on fees or anything like that. Look, this is a very competitive environment. We have very able competitors. Everybody is scrapping in a business that isn't growing very well, right? We're all very proud of our organic growth rate, but remember, it's still in the very, very low single-digit numbers. So, it's a fight. And we certainly want to deliver the best we can for our clients to get there. I will give you the example very specifically around some ETF launches that we've had. And we continue to deliver on what our clients' needs are. And this industry is like any other industries, like your industries, like any industry, if you deliver on what your clients want, they will pay fair and reasonable prices for it. If you're delivering something that they don't want or you fail, then you have pressure. And so, it's, again, the whole team effort for us to come together and deliver for our clients. And in that manner, hopefully keep them happy and keep our rates fair.
Operator: Our final question today comes from Michael Cyprys from Morgan Stanley. Michael, your line is open. Please go ahead.
Michael Cyprys: Great. Thanks. Good morning. Thanks for squeezing me in here. Just wanted to come back to a comment, Ali, you made about innovation at the core of Janus Henderson's corporate strategy. I was hoping maybe you could talk about how you're thinking about and investing in technology to enhance your investment engine and support alpha generation. How do you see that evolving in the near term versus looking out more longer-term?
Ali Dibadj: So, thanks for the question. We, as we've mentioned before and you saw some of the results in Q4, continue to invest in the business, both from a technology perspective, but also from a people perspective, from a seed capital perspective and otherwise. When it comes to specifically on technology, we have a team that is -- they have day jobs, but we have a team that comes together and thinks about disruptive financial technologies, or DFT, a shout out to them if they're listening to this call, really thoughtful group of folks who keep an eye on what's going on externally, not just in our industry, but in other industries and bring that to bear within our organization. And they bring it to bear really in three big buckets. One, exactly as you described it, is how can we make more efficient, make more productive, deliver better results for clients on the investment process side of things, ingesting a lot of data or getting quicker access to information, et cetera. The second piece that we have is investing on how to best serve our clients, how do we understand our clients better. I mentioned this earlier on and what's going on in U.S. intermediary and one of the partnerships that we have there is to understand what client needs are, what advisers' needs are, so we don't waste their time, but we target and are able to deliver on what their needs are, so client service. And then the last one is what we call internally, how do we 10 times our people. We firmly believe that technologies like AI will help our people to do better and be more efficient. And human plus AI is better than AI alone. And so, that's somewhere we're investing as well. So across the board, not just AI, but broad technology, those are the areas we're investing in. And look, you've seen that in our P&L. When Roger releases the purse strings a little bit, he looks for ROI, but the ROI is there, and we continue to deliver on that.
Michael Cyprys: And maybe just on that latter point on AI, maybe we could just double-click on that for just a moment. Maybe you could talk a little bit about how you're using and thinking about using generative AI and LLM tools across the organization? I think you mentioned an RFP use case broadly. How many use cases have you guys identified? How do you see that evolving in terms of putting them into production over the next year or two? And as you think about over the near to medium term, what -- how meaningful could this be to top- versus bottom-line results?
Ali Dibadj: So, we're early days, less than a handful of things that are actually in production or being used right now, I would say. We clearly, like -- frankly, everybody else has their own version of a ChatGPT or we call it ChatJHI. We have those types of tools that are there for sure. So, I don't really count that. But things like the RFP tool, and that team has worked tirelessly in improving that. I mean the good news is that we have capacity constraints on our RFP team. And so, if we can give them tools to improve the speed and accuracy, at least with the first cut of RFPs, that's something that has been quite meaningful. And so, that is something. Thanks for noting it in the prepared remarks that we mentioned, we think that has a lot of opportunity to help 10 times our people. But I mentioned also work that's going on, for example, in the intermediary world. So, we have an AI-powered distribution intelligence platform, which looks at taking insights from the data that we have to enhance productivity, to drive growth, to understand, again, who to target and who to not waste time of because they're not interested in products X, Y or Z, but we can actually bring them product ABC that they're interested in and their clients' needs. So, we have good examples of that. It's tough. I don't want to dodge, I apologize. I just -- I don't really know dollars and cents-wise how impactful it's going to be. What I do know is that there's a clear need for extra productivity and capacity within our organization, and we're trying to provide that with some of these AI tools, and AI tools that something we're building internally, but a lot of them we're partnering externally with as well. I think everybody in the industry is probably thinking about this. And if not, they probably should.
Operator: We have no further questions. So, I'll hand the call back to Ali Dibadj for some concluding remarks.
Ali Dibadj: Thanks, Adam. Just wanted to end by thanking our clients for entrusting us with their capital and the capital of the 60 million end clients that directly or indirectly rely on Janus Henderson. I want to thank everybody at Janus Henderson across the organization, whether you're in IT and ops working on AI or support functions or client groups or investments, these are a strong set of results. We're putting one foot in front of the other, as I've said a couple of times, internally and externally, and we want to deliver for our clients, our shareholders and all of our stakeholders. So, bye for now and talk to you next time.
Operator: This concludes today's call. Thank you very much for your attendance. You may now disconnect your lines.